Operator: Good morning, everyone, and welcome to The Eastern Company's First Quarter Fiscal Year 2024 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. 
 I will now turn the conference over to your host, Marianne Barr, Treasurer of The Eastern Company. Marianne, over to you. 
Marianne Barr: Good morning, and thank you, everyone, for joining us this morning for a review of the Eastern Company's results for the first quarter of 2024. With me on the call are Eastern's President and CEO, Mark Hernandez; and Eastern's CFO, Nicholas Vlahos. The company issued an earnings press release yesterday after the market closed. If anyone has not yet seen the release, please visit the Investors section of the company's website www.easterncompany.com, where you will find the release under Financial News. 
 Please note that some of the information you will hear during today's call will consist of forward-looking statements about the company's future financial performance and business prospects, including without limitation, statements regarding revenue, gross margin, operating expenses, other income and expenses, taxes and business outlook. 
 These forward-looking statements are subject to risks and uncertainties that could cause actual results or trends to differ significantly from those projected in these forward-looking statements. We undertake no obligation to review or update any forward-looking statements to reflect events or circumstances that occur after the call. For more information regarding these risks and uncertainties, please refer to risk factors discussed in our SEC filings, including Form 10-K filed with the SEC on March 12, 2024, for the fiscal year 2023 and Form 10-Q filed with the SEC on May 6, 2024. 
 In addition, during today's call, we will discuss non-GAAP financial measures that we believe are useful as supplemental measures of Eastern's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. A reconciliation of each of the non-GAAP measures discussed during today's call to the most directly comparable GAAP measure can be found in the earnings press release. 
 With that introduction, I'll turn the call over to Mark. 
Mark Hernandez: Thank you, Marianne, and good morning to both those who joined us by phone and those participating via the web. As you know, 2023 was a year of transformation for Eastern, during which we revamped our core operations for long-term growth and shareholder value creation. Our operational improvement initiatives drove increasingly strong results as the year continued. And in quarter 1 of 2024, we made additional progress, even though seasonally, the first quarter is not a strong one for us. 
 I'll provide just a few highlights of the quarter now so I can spend more time later in the call going over our plans and activities for 2024 and beyond. First, through our consistent focus on operational excellence, we greatly improved our gross margin and earnings year-over-year. Our drive to reduce Eastern's inventory down by $3.5 million from year-end 2023, continue to contribute to our results. We made further progress in strengthening our balance sheet, reducing long-term debt to $43.1 million, and positioning Eastern to pursue M&A opportunities that accelerate our objectives. 
 In addition, we grew our backlog 22% to more than $97 million since the year-end 2023, reflecting the positive impact of our steps to enhance relationships with key customers and more stable order flow we achieved, allowing us to enter Phase II of focused commercial business, commercial transformation for organic growth. In all of our divisions, book-to-bill ratio, a very positive sign as we move into Q2 has been positive for all companies. 
 Additionally, we're launching some significant new products in this quarter, it's a little too early to talk about them now, but I look forward to providing more details as we get further into the programs. 
 I will now turn the call over to Nick for a quick review of our first quarter financial results. Nick? 
Nicholas Vlahos: Thank you, Mark, and good morning, everyone. As Mark said, I'll run through our results for the first quarter of 2024. For the period, net sales decreased 6% to $67.9 million from $72.5 million in the 2023 period, primarily due to lower demand for truck accessories and returnable transport packaging products, partially offset by strong orders for truck mirror assemblies. 
 During the quarter, distributors continue to work through inventories built up in response to supply chain challenges. But based on our recent conversations with our distributor customers and current order activity, we believe this process is finally winding down. As Mark mentioned, our backlog as of March 30, 2024, increased 22% to $97.4 million compared to $80.1 million as of December 30, 2023. 
 The increase was driven by orders for truck mirror assemblies, including the launch of Velvac's new mirror program for Class 8 trucks. Gross margin as a percentage of sales in the first quarter was 24% compared to 21% in the 2023 period. The increase in margin primarily reflects improved price cost alignment and various other cost-saving initiatives. As a percentage of net sales, product development expenses were 2% compared to 1.9% for the 2023 quarter. 
 Selling and administrative expenses decreased 4% for the first quarter of 2024 compared to last year's period. The decrease was primarily due to lower legal, professional selling costs and payroll expenses. Other income and expense for the first quarter of 2024 increased $0.6 million compared to the 2023 period. The increase in other income of $0.6 million was primarily driven by unfavorable working capital adjustment of $0.4 million in the 2023 period related to the sale of the Greenwald business. Net income for the first quarter of 2024 increased to $1.9 million or $0.31 per diluted share from $0.6 million or $0.10 per diluted share in the 2023 period. 
 In the first quarter of 2023, net income was negatively impacted by $1.8 million in severance expenses related to the elimination of the Chief Operating Officer position, the departure of the Chief Executive Officer and a $0.4 million related to the sale of the Greenwald business, partially offset by $0.5 million for the non-GAAP tax impact of the adjustments. 
 Adjusted EBITDA, a non-GAAP measure, for the first quarter of 2024 was $5.2 million compared to $5.5 million for the first quarter of 2023. At the end of the first quarter, our senior net leverage ratio was 1.4:1, down from 2.05 at the end of the 2023 period. In addition, we invested $1.8 million in capital expenditures and paid dividends of $0.7 million. 
 For the first quarter, cash flow from operating activities was $3.6 million compared to $6.9 million for the last year's period. The difference was primarily due to increases in accounts receivable and lower reductions in inventory, partially offset by accounts payable. As of March 30, 2024, inventories totaled $55.8 million, a decrease of $3.5 million from year-end 2023.  
 That completes my financial review. I'll now turn the call back to Mark. 
Mark Hernandez: Thanks, Nick. At this point, I'll review our key strategies and activities for the rest of 2024 and beyond. As a first step, I'd like to be sure that everyone understands the mission we are pursuing for the Eastern Company because it provides important perspective on the way we are now running the company. 
 Our goal is to be more than just a product manufacturer. We want to be a trusted partner who provides engineered solutions that add intrinsic value to our customers, our shareholders and our employees. We want Eastern to be the company our customers want to do business with so they actually look for opportunities to work with us and are invested in our success. 
 We are starting to see already as a result of our improved operations, high-quality products and on-time delivery in our many visits and conversations with Eastern's customers. Our higher backlog, for example, illustrates the improved perception and the higher level of trust in Eastern that our customers are building. 
 In the last few earnings calls, I've talked about the 4 pillars of our strategy for building a solid foundation of reliable earnings from operating activities, which we've been key to helping us achieve our improved results. As you recall, the pillars are: disciplined operations; optimum capital utilization; focused commercial business; and phase we're now just entering, value-added acquisitions and vertical integration. 
 Just a few days ago, we attended an M&A conference where we made many useful connections with professionals who can help us identify strong prospects of the appropriate size for Eastern and execute transactions quickly and efficiently. We are especially interested in finding opportunities for vertical integration so that we rather than paying a supplier to do something we're capable of doing ourselves. 
 We take on that task and capture the savings in our cost of goods sold, which then flow to the gross margin improvement. In our year-end call, I spoke about the importance of our overarching One Eastern philosophy, which means that rather than functioning as 3 separate companies, our goal is to act as one company, leveraging our size and activities across our divisions to enable us to provide the best value to our customers and the best results for our shareholders. 
 One Easter approach has had a very beneficial impact on our operations already, and we're now executing actions such as maximizing our return from the company's footprint in Mexico and Asia so that we can make the best possible manufacturing decisions based on availability of labor, wage structures and component costs centralized actions in HR and IT rather than duplicate those functions across the divisions, leveraging our procurement cube, which is our spend on direct material, indirect material and expense to achieve a more efficient expenditures throughout our operating divisions. 
 We are also planning a $3.5 million investment in plastics manufacturing capabilities that will help us build the businesses of all 3 of our operating divisions. We have a pilot program underway now, though the efforts such as these Eastern as a whole can achieve more than any one single division is capable. 
 Another fundamental concept I would like to touch on today is our shareholder value creation cycle. It starts with our divisions being a trusted partner and with disciplined business operations. These elements produce stronger operating results, which translate into increased earnings, increased cash flow and the ability to pay down debt. Improved results start the process of the strengthening of the Eastern's market capitalization and total shareholder return. 
 Then comes a growth phase, which encompasses organic growth, acquisitions and vertical integration. At the moment, our internal growth products include electromechanical development at Eberhard lighter solutions that save the customer money at Big 3 and advancing our integration of Surflex acquisition to provide aftermarket solutions at Velvac. We live this loop of value creation every single day, and we are pushing it forward as fast as we can. 
 Our May '24 investor presentation includes a slide that illustrates our shareholder value creation cycle, and you may want to take a look at after today's call. The deck is posted on investors information section of our website under Events and Presentations. 
 With that, we'll open up for questions. 
Mark Hernandez: I would like to kick off the question section with some shareholder questions that we've received over the last couple of weeks just to primary solution. So the first question is you seem to have a strong relationship with your customers, is that a strategy to grow the present set of products, Eastern manufacturers or these customers as Eastern to broaden its manufacturing capabilities to offer additional products? Well, what I said earlier, we want to be the trusted partner that our customers want to come to with opportunities that we can further provide values because they trust us, they trust in our ability to deliver. They know that we're reliable and that we can produce. 
 As we go through another opportunity is, if we go through cycles in the commercial vehicle industries, there's going to be companies that are going to be spun off from private equity and some other opportunities where they're not performing as much as they've grown. Our customers know this upfront, probably more so than we do and will come to us with opportunities to grow our business going forward because they can trust us and rely on us to provide. 
 The second question how does Eastern compete in the marketplace today compared to the previous realm before I took over as CEO, and Nick took over as CFO? 
 What I can say is that our new foundation is alignment of business philosophy, and that starts with codifying our strategy of 4 pillars so that everyone across the divisions understands what we're trying to do as an Eastern Company and cascade that down into their organizations to achieve results beyond what they would anticipate within themselves and capabilities. 
 Couple that with the One Eastern philosophy, where we synergize across our divisions and we participate in making Eastern better at the same time of making each of our divisions stronger. And then targeting organic growth through commercial transformations -- through products that we exist today with the customers we exist today, but as well as adjacent markets that we're looking to enter. 
 The third question, I'll give to Nick. Nick, what conditions which we met by the company to consider another significant transaction in M&A activity? 
Nicholas Vlahos: So for us, we want to make sure that we have our appropriate working capital efficiency. We have been down the path of lowering our debt, and we want to continue to be able to do so and then consistent operating performance. And those are the 3 main conditions we're focusing on while we look towards other significant transactions. 
Mark Hernandez: Okay. Operator, we'll turn it over to calls in the queue. 
Operator: [Operator Instructions] Your first question is coming from Ross Davisson of Barrington (sic) [ Banneton ] Capital. 
Ross Davisson: On revenue and backlog, I just wanted to ask, the revenue was down about 6% year-over-year, but it was about flat sequentially. And then the backlog was up nicely. Does the backlog give you any further indication of -- plus whatever else you're hearing give you any indication of sort of when we might see growth restart? 
Mark Hernandez: Yes, Ross. So the impact in the first quarter was primarily due to 4 things across 2 major projects, One, defense project and the USPS launch being delayed, that we expect to come online later in the year. And then the distributor model that we talked about as they burn through their backlogs, and we're addressing that through our commercial transformation by expanding on our penetration of available products to the distributors as well as touch points with the distributors going forward and leveraging that going forward. 
 And then the last thing that impacted us was the kind of slowdown in returnable packaging as the automotive companies and the commercial vehicle companies kind of decide on what 2024 is going to look like. And -- so they delayed some of their orders, but we're back in line now. So our book-to-bill ratio, I think, is a short-term indicator that shows that we have confidence in the rest of the year as well as our backlog. 
 The backlog increase was primarily due to the relationships we have with the customers to get a solid foundation of orders going forward. So we feel confident throughout 2024 that it was just a low in the first quarter, and that we'll see the second, third, fourth quarter being stronger than we anticipate in getting back on track for 2024. 
Ross Davisson: Okay. Great. That's helpful. And then just last question on gross margins. I know it's not easy and different things can happen each quarter. Was there anything in particular to highlight about what drove the sequential decline in gross margin from the, I think, 26.8% in Q4 to what we saw in Q1? 
Nicholas Vlahos: No. So there wasn't any particular -- anything particular highlight. I guess the one thing I would mention is the end of year LIFO adjustment that we make, that was a benefit in the fourth quarter. 
 However, your first quarter, you do typically see lower margins compared to the rest of the year for the Eastern Company historic. 
Mark Hernandez: And couple that with the reduction in revenue, our SG&A was set up to be at a higher level of revenue. So we saw some deterioration from the fourth quarter. But optimistically speaking, it should come right back as we write the ship on revenues going forward. 
Ross Davisson: Okay. Yes, that makes sense. And I do recall the LIFO adjustment. 
Operator: [Operator Instructions] Okay. I'm not seeing any further questions come into queue. I will now hand back over to Mark Hernandez for any closing remarks. 
Mark Hernandez: Thanks for joining us today. We -- with the strong operational foundation we've created, the steps we're taking to establish Eastern as an agile solution provider and our new focus on mergers and acquisitions and make diversify, we believe we are on the right path to building a bigger, better and more profitable company. The macroeconomic environment for our industry is good, and we're positioning Eastern to take full advantage of the opportunities that arise. 
 We look forward to giving you another update in August. In the meantime, if you have any additional -- if you need any additional information, please reach out to us. Thanks, again for joining us today. 
Operator: Thank you very much. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.